Operator: Greetings, and welcome to Weave's Third Quarter 2025 Financial Results and Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your host, Mr. Mark McReynolds, Head of Investor Relations. Thank you. You may begin.
Mark McReynolds: Thank you. Good afternoon, and welcome to Weave's Third Quarter 2025 Earnings Call. With me on today's call are Brett White, CEO; and Jason Christiansen, CFO. During the course of this conference call, we will make forward-looking statements regarding the anticipated performance of our business. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties described in our SEC filings. We've disclaims any obligation to update or revise any forward-looking statements. Further, on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. Unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis, which excludes onetime acquisition-related compensation. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC before this call as well as the earnings presentation on our Investor Relations website. Before I turn the call over to Brett, we want to let you know that we'll be participating in the Stifel 2025 Midwest One-on-One Conference on November 6 at the Waldorf Story in Chicago and also at the Raymond James TMT and Consumer Conference on December 8 at the Lotte New York Palace Hotel in New York City. And with that, I'll now turn the call over to Brett.
Brett White: Thank you, Mark, and thank you to everyone joining us today. We are very pleased to report that the Weave team delivered another strong quarter, marked by accelerating revenue growth, non-GAAP profitability and free cash flow as well as significant advancements across our product road map. Weave is a vertical SaaS platform that delivers AI-powered patient engagement and payment solutions, purpose-built for the unique needs of small and medium-sized healthcare practices. Our platform powers communication, scheduling and payment workflows that free teams from repetitive manual work, giving them time to focus on meaningful patient relationships and higher-value activities. We combine operational insights into one seamless experience to help practices grow and improve the efficiency of their teams. The result is a fuller schedule, stronger revenue capture, happier patients and teams empowered to focus on people rather than paperwork. We solutions work around the clock to convert missed calls into booked appointments, helping to ensure practices never miss an opportunity. Our AI is trained on over a decade of real-world patient interactions, including billions of phone calls, voice messages and text messages. This gives us a deep understanding of how practices and patients actually communicate. Weave integrates directly into a practice's system of record through authorized APIs, which allows us to deliver automated workflows that feel like an extension of the practice. This quarter, we generated $61.3 million in revenue, accelerating our year-over-year growth rate to 17.1%. This also marks our 15th consecutive quarter of exceeding the top end of our revenue guidance. Gross margin reached a record high of 73% this quarter, more than 15 percentage points higher than our gross margin at our IPO 4 years ago. We again exceeded the high end of our operating income guidance. This strong performance translated into another solid cash flow quarter with $5 million of free cash flow. This continued improvement reflects our disciplined execution and underscores the efficiency and scalability of our business. The SMB healthcare market is evolving rapidly with technology playing a greater role in how practices attract, engage and retain patients. We believe the future of software and SMB healthcare will deliver intelligent automation that works hand-in-hand with office staff to improve patient experiences. As we execute on this vision, we are laying the foundation for our next chapter of growth. Patient care will remain deeply personal, while routine operations quietly run in the background. We believe that the most successful practices will adopt technology purpose-built for modern patient interactions with automated workflows, actionable insights and intelligent agents that anticipate and act. Dental service organizations or DSOs and other group practices understand and share our vision for a connected automated front office. Industry momentum is clearly moving in this direction as healthcare practices look to adopt unified, intelligent solutions built with compliance, reliability and patient experience at the forefront. Weave is uniquely positioned to lead in this next phase of transformation. Our scale, brand and deep expertise in SMB healthcare gives us an advantage. Our platform is differentiated by our authorized integrations with leading practice management systems. In an environment where lawsuits are putting unauthorized integrations at risk, Weave's secure architecture and HIPAA-compliant infrastructure gives practices confidence and peace of mind. Security, regulatory compliance and reliability are table stakes in healthcare, but we believe they are also barriers that our competitors may not understand and cannot afford to meet. One of our largest customers recently shared with me at a trade show. He said, "We're so glad you acquired TrueLark because of your proven scale, security and reliability." When I looked at some of these other companies, we have no idea what's under the hood. Weave's vertical focus gives us a unique advantage. Unlike horizontal platforms and general purpose automation tools, we understand healthcare workflows, regulatory requirements and the nuances of patient interaction. That level of precision is critical in an industry where even small errors or misbooked appointments can damage patient relationships and business performance. No other vendor serving SMB healthcare combines unified communications, deep system integrations, intelligent automation and enterprise-grade privacy and security in a single trusted platform. We believe this combination creates a durable competitive moat and positions Weave to capture long-term market share as practices modernize the patient experience. Our strategy builds on this strength by focusing on deepening customer reliance on Weave and expanding our share of practice spend. With each new feature, we are striving to enhance automation, engagement and efficiency for our customers, driving stronger retention and expansion across our base. As intelligent automation becomes more deeply embedded within our unified platform, we believe it will unlock new recurring revenue opportunities and strengthen the long-term economics of our business. This advantage is not theoretical. It's already transforming how healthcare practices operate. Across healthcare, the front desk is the hub of the patient experience. For years, practices have been constrained by staffing shortages, fragmented software, disconnected workflows and missed call from patients seeking to book appointments. Staffing remains the #1 challenge for SMB healthcare practices. More than 70% report difficulty in hiring and retaining front desk staff, a problem that disrupts patient communication and daily operations. By helping practices operate reliably regardless of staffing levels, weave solves one of the biggest operational risks in healthcare today. One of our largest customers, a leading dental group comprised of hundreds of practices nationwide, was facing these same challenges across its network. Before Weave, their average answer call rate hovered around 60%, meaning 2 out of every 5 patient calls went unanswered. A regional leader who oversees 50 of their practices decided it was time for a change. She and her team turned to Weave to bring patient interactions together, phones, messaging and scheduling, all in one place. The results have been extraordinary. Today, nearly all of those practices run on Weave with answer rates now exceeding 90%. In addition, 17 of these practices have recently adopted our AI receptionist powered by TrueLark to automate the handling of after-hours calls and scheduling. In just 1 quarter, those locations booked more than $320,000 in additional appointments with 75% of those appointments scheduled without any staff involvement. As a result, new patient volume has increased by over 25% year-over-year. This is a powerful example of how Weave unites communications and automation to help practices grow efficiently while delivering a superior patient experience. Results like this demonstrate how Weave is delivering the next generation of intelligent communication. We are solving the real problems that every practice faces. Throughout the patient journey, our AI receptionist delivers always-on engagement and ensures consistent service even when staff levels fluctuate. It acts as a true extension of the practice, answering questions, confirming appointments and managing scheduling 24/7. Over the next few quarters, we intend to expand its capabilities meaningfully. Later this quarter, we plan to introduce voice capabilities, enabling the AI receptionist to handle incoming patient calls directly and intelligently route complex inquiries to staff. It will complete tasks via voice or text, including scheduling, confirmations, backfilling cancellations, all within the same unified conversation thread our customers rely on every day. We continue to deepen the integration between TrueLark and Weave. As we laid out in our last call, we began the go-to-market integration by introducing our AI receptionist product to the mid-market accounts. And this month, we extended sales efforts to our existing single location customers, where we are already seeing strong interest. In November, we plan to launch sales to new single location customers, incorporating our AI receptions directly into our standard sales motion. In addition to our AI receptionist, we are building a range of AI solutions that reinforce Weave's position at the forefront of intelligent automation in SMB healthcare. Over the last year, we've seen strong adoption of call intelligence, an AI-powered analytics engine that transforms every phone interaction into actionable insights. Call intelligence analyzes call recordings, detects customer sentiment and identifies both patient needs and additional revenue opportunities. One recent customer example illustrates its impact. Call intelligence flagged a missed call from a patient who reached out about a dental emergency and staff followed up the same day. The patient received the treatment and decided to move forward with an $80,000 cosmetic treatment. As the practice manager explained, opportunities are everywhere and tools like this help you catch them before they slip through the cracks. In coming quarters, we're expanding call intelligence capabilities to provide visibility across every conversation, whether automated or handled by staff. It will proactively surface action items to guide next steps for the AI receptionist or the front desk. By unifying all human and intelligence-driven interactions into a single conversation thread, Weave uniquely enables practices to capitalize on opportunities for revenue growth, improve patient experience and continuously coach teams for better performance. Finally, our AI-powered in-app assistant serves as a true copilot for busy front office teams, helping practices work smarter, faster and more efficiently. In the coming quarters, it will simplify setup and assist with customized workflows to help practices get the most out of Weave's advanced features. The opportunity ahead of us is significant. The combination of strong demand, a proven platform and AI innovation positions Weave to drive sustainable growth and long-term shareholder value. Weave is leading this transformation, unlocking the full potential of intelligent automation to power the next generation of connected, efficient, patient-focused practices. In addition to the developments in AI, we continue to make positive strides in the other growth vectors we outlined earlier this year. Specialty medical continues to emerge as a key growth driver for Weave. This vertical delivered record results again this year with the highest number of medical location additions in company history. As a reminder, the specialty medical vertical is more than triple the size of the dental, optometry and veterinary combined, underscoring the significant long-term opportunity it represents for Weave. Mid-market also continues to be a powerful growth engine for Weave with expanding traction across multiple healthcare segments. Our mid-market pipeline continues to diversify with meaningful contributions coming from outside the core dental base. For example, we've recently signed a contract with a 600-plus location specialty medical group. The initial phase includes roughly 50 locations, which have already begun onboarding. This account has the potential to be one of our largest customers. This group came to Weave through an EMR partnership and is a great example of the opportunities that we can unlock when we partner closely with practice management systems. Over the past several quarters, we've launched multiple new integrations. In the first year after launch, sales of the integrated solutions have grown 2x to 5x year-over-year, demonstrating strong demand and the immediate impact of integrated offerings. These integrations are expanding our reach and reinforcing Weave's position as the most connected platform in small and medium-sized healthcare. Payments continues to be one of our strongest growth drivers with Q3 revenue growing at more than double the rate of total revenue. We continue delivering on our payments platform road map, focusing on the most requested customer features. At the top of this list, were surcharging and bulk collection features, both of which were recently launched. Surcharging helps our customers manage rising costs by enabling them to pass credit card fees on to the payer if they choose. Bulk payments allows practices to initiate multiple payment requests simultaneously. This capability saves significant time for office staff and strengthens our value proposition for multi-location and enterprise customers. To conclude, I want to thank our customers, partners, team and shareholders for your continued trust and belief in Weave. Looking ahead, we are incredibly excited about the future we are building with our AI platform, which we expect to transform how practices communicate, automate workflows and deliver care. With the foundation we've built and the innovation ahead, I'm very optimistic about the future for Weave. I'll now turn the call over to Jason for a deeper discussion of our financial results. Jason?
Jason Christiansen: Thanks, Brett, and good afternoon, everyone. It was another solid quarter for Weave, reflecting continued momentum in our key growth initiatives and disciplined execution across the business. We delivered revenue of $61.3 million, exceeding the midpoint [Audio Gap] an acceleration of our revenue growth rate to 17.1% year-over-year. Excluding TrueLark and the effect of last year's price increase, Q3 revenue grew more quarter-over-quarter than any quarter in the past 4 years. Specialty medical, where we are still less than 1% penetrated, grew more than -- more in Q3 than in any previous quarter as it continues to ramp. Payments revenue again grew more than double our total growth rate. Gross revenue retention held steady at 90% in Q3. Net revenue retention was 94%. We have discussed the resiliency of the end markets we serve, and that remains true today. Demand remains strong, and we continue to be successful in customer acquisition. I would like to highlight a few aspects of our retention metrics. First, our net revenue retention in the second half of 2024 and the first half of 2025 was bolstered by the effects of a price increase in Q2 of 2024, which accounted for approximately 250 basis points of uplift. We have lapped the effect of that price increase and our net revenue retention rate has decreased commensurately back to within 1 percentage point of Q3 of 2023 prior to the price increase. Second, when we enter new verticals, it is typical for us to see higher churn and lower average sales prices initially. In the early phases of a new vertical, we are selling newer integrations and often nonintegrated solutions, which have a slightly higher churn profile. That is true for specialty medical, our fastest-growing vertical, where strong new customer adoption creates pressure on overall retention metrics, similar to what we experienced in the early stages of more established verticals. Over time, we expect churn to normalize and average sales price to increase as we achieve greater product market fit and industry presence through more mature integrations and greater integration coverage. Lastly, it's also important to note that our reported retention metrics are measured on a location basis, not a customer or logo basis on a weighted 12-month average. For example, adding another location to a multi-location customer does not improve our retention metrics as each location is viewed separately. If we were to report net revenue retention on a logo basis, it would be higher than our net revenue retention on a location basis. Let me now turn to our operating results for the quarter. Gross profit grew to $44.8 million, an increase of nearly $7 million year-over-year. That represents a gross margin of 73%, up 50 basis points year-over-year and 70 basis points sequentially. The improvements were largely driven by leveraging cloud data center costs and hardware amortization. Sales and marketing expenses were $24.3 million or 40% of revenue. We increased Q3 demand generation expenses to capitalize on strong momentum in specialty medical, recently announced integration partnerships and mid-market. This included demand generation for the solutions recently acquired in the TrueLark acquisition. Research and development expenses were $9 million or 15% of revenue. Our focus includes integrating TrueLark into the Weave platform and accelerating the development of our product road map and AI strategy. General and administrative expenses were $9.9 million or 16% of revenue, which provided the most year-over-year operating leverage in our business as these expenses improved from 17.5% in Q3 of 2024. Operating income for Q3 was $1.7 million, an improvement of $300,000 compared to Q3 of 2024 and exceeds the high end of the guidance range we provided in July by $700,000. This represents an operating margin of 2.7%. Turning to our balance sheet and cash flow. Weave's liquidity remains strong. We ended the quarter with $80.3 million in cash and short-term investments, an increase of more than $2 million sequentially. The third quarter was another period of strong cash generation with $6.1 million of cash provided by operating activities and $5 million of free cash flow. Year-to-date, free cash flow totals $8.5 million, representing a $4.3 million improvement compared to the same period last year. Looking ahead, we are raising the midpoint of our full year revenue guidance and updating the range to $238 million to $239 million. We are also raising our full year non-GAAP operating income guidance to be in the range of $3.3 million to $4.3 million. This outlook reflects meaningful year-over-year improvement in profitability. For the fourth quarter of 2025, we expect total revenue in the range of $62.4 million to $63.4 million and non-GAAP operating income in the range of $1.5 million to $2.5 million. Our expected weighted average share count for the full year is approximately 76.3 million shares. In closing, our business continues to perform well and momentum across the company remains healthy. Q3 was a strong quarter marked by accelerating revenue growth, record gross margin and solid free cash flow. As we look ahead, we're confident in our ability to balance growth and profitability as we execute on our strategy. Thank you for your continued support. And with that, we'll now turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Alex Sklar with Raymond James.
Alexander Sklar: Brett, maybe first for you on payments and then some of the additive functionality that TrueLark bring, particularly around payments. Can you just talk about what you're seeing from that solution broadly? How are you doing in terms of new lands in specialty medical with landing with payments out of the gate? And when do you think you're going to be in a position where you can integrate some of that TrueLark functionality on the revenue cycle management opportunity and automating some of the collections processes?
Brett White: Alex, sure. So first, we'll talk about payments. So we had very strong volume growth this quarter. So we continue to improve there. As we mentioned, we had revenue growth in aggregate was greater than -- more than double the total growth rate. So continue to add customers, continue to add volume. Average volume per customer continues to be strong. As far as when do we think we can add TrueLark capabilities, that's absolutely on the road map. Our road map is really to release the stand-alone product, which is not yet integrated with payments, but it's on the road map. We're going to be upselling -- we just started upselling it to our existing customers. We're going to introduce the sales to our new single locations this month. And then we're going to be building an integrated solution that we're calling internally called infusion, where we integrate the TrueLark technology into the Weave inbox. So you have one combined inbox. And then shortly after that, we'll follow with what we're calling intelligent actions, which one of those will be working payments and RCM type activities into the automated workflows. So follow-ups on past due payments, active outbound invoicing, intelligent insurance verification and insurance eligibility. So over time, probably next couple of quarters, be building that functionality into a lot of the intelligent actions that the system is going to deliver to our customers.
Alexander Sklar: Okay. Great color there. And I don't know if this one is for you, Brett, or Jason, but really strong commentary on specialty medical again this quarter. You had a nice group win. Can you just kind of update us on how some of these group integration or implementations have gone? We're about 12 months past, I think, the ACI one. Where does that one stand? How is the overall pipeline for middle market kind of larger practice opportunities stand within the overall growth algorithm?
Jason Christiansen: Great question. So we continue to make great progress in the mid-market. Sales are very strong. On ACI specifically, we continue to make progress. We continue to see adoption and rollout. We have seen great growth in that business. If you'll remember, they also selected Weave because of the payment workflows and solutions that we're able to integrate with the overall Weave offering. And that's been a nice contributor and a benefit to us. And one of the things that they're really excited about and looking forward to is this integrated inbox that Brett shared. he's had -- he could speak to this better, but he's had several conversations with a number of these large group practices. And as they understand what we're developing as we acquired TrueLark and what we're now building together, they really get excited about what that can mean for their business, the ROI can deliver, the centralized reporting and analytics. And so we continue to remain quite optimistic about the opportunity ahead of us in the mid-market front, where it still feels like we're very early in that life cycle.
Brett White: Yes. I'll add a little bit there. We just recently had dinner with our management team, and the rollout is on track. So that's great news. And then we shared with them kind of our plans for the automated front desk, and they were very, very interested in the value that, that can bring to their practices. So the relationship is very strong, and I'm very optimistic about our future there.
Operator: Your next question comes from the line of Hannah Rudoff of Piper Sandler.
Hannah Rudoff: Nice to see that subscription growth reaccelerate this quarter. Just wanted to follow-up on Alex's first question around payments. It's nice to hear about that strong growth in payments, but it seems like the base is still relatively small there. I guess what is it going to take for payments adoption to really accelerate? And how much will it benefit from this TrueLark integration you're talking about? How much will it benefit from the surcharging and bulk payments functionality added in? Is there other functionality you need to build in to really get a step function change in payments adoption?
Brett White: Sure. Thanks, Hannah. So I think we've been saying all along, the real unlock for our payments business is the workflows, really nailing the workflows and then also nailing the integration with practice management software. I listed 2 of the top features that customers were looking for, especially multi-location customers. In my prepared remarks that they really wanted, and we've delivered on those. We've actually -- on surcharging, we've actually seen in the short period that's been live, very positive results there. So again, it's nailing the workflows and then nailing the integrations. We've just ticked off 2 of the major items on the list. And then the integrations, we continue to make really good progress there. Our strategy of only going through authorized front door integrations, only using authorized APIs is paying off. So I think we just keep delivering the features and functionalities that we need. And then I think the automation technologies that are coming from TrueLark, but also being developed organically with the 2 combined teams should also be a pretty significant unlock, and we'll see how that rolls out over the next few quarters.
Hannah Rudoff: Good to hear. And then how do you think about balancing the rollout of new integrations on the specialty medical side and different subverticals you're expanding into versus growing the ASPs and customers in existing specialty medical subverticals that you're in?
Brett White: Well, it's interesting. So we take a very programmatic approach to rolling out new integrations. We kind of start with where the largest presence are when it comes to practice management software, work with them, develop those integrations. And unlocking those integrations actually drives quite a bit of ASP growth. So a non-integrated Weave is generally -- let me say it differently, integrated Weave is more valuable to our customers. So it has a higher ASP, and it has a higher retention rate. And so one kind of begets the other. We get the integration done, we roll them out and then we can either upsell existing customers who are on a nonintegrated version or we can go to market with the integrated version, which [Audio Gap]
Operator: It seems we have Lost the main speaker line. Please hold.
Brett White: Okay. Are we back?
Operator: You are back. Loud and clear.
Brett White: Awesome. Are there any additional questions?
Operator: Yes. Your next question comes from the line of Matthew Kikkert of Stifel.
Matthew Kikkert: Specialty Medical continues to outpace the overall growth. Can you break down the driver of that success? Is a lot of the success coming from deeper penetration within existing subverticals like med spas or is it expansion into new subverticals? And then maybe more importantly, how can you replicate that success across other verticals?
Jason Christiansen: Yes. Thank you for the question, Matthew. We continue to remain focused on the primary verticals that we've been talking about around med spa, plastics and aesthetics, physical, opto, physical, occupational therapy. And so there's a significant opportunity there just within the 4 specialties that we're targeting, the size of the opportunity is roughly the size of dental, optometry and vet combined. And we're still less than 1% penetrated. So our approach to opening up the verticals we look at, one, the integration opportunity and our ability to go get those integration unlocks with the EMRs in the healthcare space. And then two, the economics and the demand from the customer base. And so there's a lot of opportunity where we're at. We remain focused there. Integrations lead our expansion. And so while we're growing there, it's -- we have a business development group who continues to evaluate other opportunities. And that's something that we'll continue to assess is where we expand. It is something that we can replicate. But for now, right now, we're just -- we're targeted on capturing the opportunity ahead of us there.
Matthew Kikkert: Okay. And then secondly, I'm curious, as you embed payments more deeply. Could you give a deep dive into how you're differentiating Weave payments from both legacy payment processors and then modern vertical SaaS players who are also bundling their own payments? And then are you able to share roughly what percentage of the customer base is now using Weave for payments?
Jason Christiansen: Yes. We haven't broken out payments separately. You know it makes up about -- it makes up less than 10% of our revenue because we don't break it out. It continues to increase as a percent or a mix of our overall revenue. The real differentiators for us is when you think about the industries that we serve, increasingly, the point of collection where payment happens is outside of the walls of the practice. And so offices are stuck trying to collect either on the front end or the back end when the patient is not right in front of them. And so you could say payment happens at the point of interaction. Weave owns all of those interactions. We manage the trusted business phone numbers when you think about the text-to-pay capabilities and the ability to deliver online bill pay links through e-mail or through text. Weave sits right at that intersection of the day-to-day operations and workflows that the front desk staff who's trying to collect those dollars is already managing. And so the points of differentiation for Weave is the ability to integrate and bring the payment or collection process into the existing interactions and communications that the front desk is already having with the patients. And that's just going to improve over time as we execute on the vision Brett laid out with bringing those collection workflows in through the AI receptionist as well.
Operator: We're going to check back with Hannah Rudoff of Piper Sandler for a follow-up.
Hannah Rudoff: I think, Brett, you dropped a little during the answer. You were talking about the programmatic approach you're taking in integrated versus nonintegrated solutions and integrated driving higher ASPs. I was just wondering if there's anything else you wanted to add to that.
Brett White: I think that's -- those are the key points that integrations drive higher ASPs, higher retention. And we focus our integration activities, think of large to small. So go for the largest players in the space first and then just kind of have a rolling thunder of integrations from there. And then also an important concept is we get a fair bit of upsells when we introduce an integration. So we'll put up -- we'll go to a trade show and we'll say, put up sciences. We are now integrating with XYZ EMR practice management software, and we'll get a lot of interest from existing customers saying, yes, I want to upgrade to the integrated version. And it's just a better performing product for them, and it's just kind of a win-win.
Hannah Rudoff: Got it. And it sounded like that 600-plus location deal in specialty medical was due to an EMR integration. Is that correct?
Brett White: That's correct. And this one is interesting because it was actually -- the deal was struck in concert with the EMR.
Operator: Your next question comes from the line of Kylie Towbin of Citi.
Kylie Towbin: You've got Kyle on for Tyler Radke. It was good to see the beat and raise on profitability, especially the step down in G&A spend as a percent of revenue. Where are you expecting to find leverage from here? Is that sustainable moving beyond Q4? And was this through synergies or curious, any details on profitability?
Jason Christiansen: Yes. Thanks, Kylie. We've talked about 2025 as a year where we are making some targeted focused investments, especially on the go-to-market side and the engineering side to enable these integrations and whatnot. The leverage in the model, we believe the investments that we're making are things that will ultimately provide additional leverage within our model. As we look at 2026, we're in the middle of our planning cycles right now. We'll provide a lot more color on what 2026 will look like in our next call. But we continue to be committed to striking that balance between growth and managing incremental profitability. We have a bias towards growth, but it's something that we remain very focused on making sure that we can strike the right cord on both sides.
Kylie Towbin: Got it. And then just on the AI receptionist adoption. Can you talk about the competitive landscape for this product? Does it replace the need for a practice to hire a receptionist outright or more alleviating the lower-value tasks?
Brett White: Yes. It's definitely the latter. What practice owners want to do is get their front desk staff much more engaged in patient care, increasing their acceptance rates on proposed treatment plans, basically engaging in much higher value activities and leave a lot of the kind of paperwork, administrative follow-up tasks to automation. And we're seeing a lot of interest there, a lot of traction. It works great. And over the next couple of quarters, we're going to be delivering an increasing level of functionality to really up-level the roles and then provide a much higher level of patient service and then just capture more revenue for the practice.
Operator: Your next question comes from the line of Mark Schappel.
Mark Schappel: Brett, in terms of the success you're seeing in your payments business this year, how much of that success would you attribute to, I guess, you could say the new go-to-market focus that you put on that solution over the past year or so versus, say, the new product capabilities that have been added to the product over, say, the last 18 months?
Brett White: I think they all go hand-in-hand. The #1 driver is really creating a stand-alone business unit that encompasses all aspects of the payments business. So understanding at a very, very detailed level how a practice actually operates, designing the product, figuring out what are the key workflows, building those, standing up the appropriate go-to-market engine, whether it be sales reps, marketing, comp plans, having the right kind of onboarding, having the right kind of customer support. So it all works together synergistically. And so it's -- obviously, having the product is paramount and knocking a number of these top requested items off the list is great progress. And then also advancing our partnerships with practice management software platforms is also great progress.
Mark Schappel: Great. And then as a follow-up, this year, you've seen accelerated investments, particularly in go-to-market, integrating TrueLark and just the deeper integration with the practice management systems. I realize it's still a little bit early, but I was wondering if you could just maybe comment on how you see next year shaping up, whether it's going to be as big of an investment year.
Jason Christiansen: Yes. Thanks, Mark. As I said with Kylie, we're right in the middle of our planning for 2026. As we look at the next year and how we're going to frame that. A lot of it comes down to the opportunities that are ahead of us. And a couple of things as we look at the go-to-market investments, these are generally small, targeted investments in a handful of sales reps in like the mid-market side. And the thing I'd highlight is even with those, we've really been able to leverage some of the scale within like our G&A line to help facilitate that so that here in 2025, we're delivering more profitability than we did in 2024 while also growing nicely. And so that's a balance that we're going to continue to strike. We're going to look at where our opportunities lie. We still have a bias for growth, but very conscientious about profitability and our ability to deliver incremental profitability. And so more to come on that in our next call, but hopefully, that helps you understand how we're thinking about it.
Operator: There are no further questions at this time. I will now turn the call back to CEO, Brett White, for closing remarks.
Brett White: Thank you all for joining the call, and thank you again [Audio Gap]
Operator: This concludes today's call. Thank you for attending. You may now disconnect.